Operator: Good morning, ladies and gentlemen. Today is Tuesday, January 27 and welcome to the Art’s-Way Manufacturing Quarterly Investor Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. Your call leaders for today’s call are Carrie Majeski, President, Chief Executive Officer, J. Ward McConnell, Jr., Chairman of Board of Directors of Art’s-Way Manufacturing; and Marc McConnell, Vice Chairman of the Board of Directors of Art’s-Way Manufacturing. I would now call over Ms. Majeski. You may begin.
Carrie Majeski: Good morning. I thank you all for joining us for our 2014 year-end conference call. I’m going to start off today by reading our forward-looking statements. You should note that some of the statements made during this call may be considered forward-looking statements. Forward-looking statements include but are not limited to, statements relating to our market position, strategies for growth and future results from operation. Forward-looking statements are inherently subject to risks and uncertainties such as competitive factors, difficulties and delays and development, manufacturing, marketing and sales of our Art’s-Way products, general economic conditions and other risks and uncertainties described in Art’s-Ways periodic report on file with the Securities and Exchange Commission. Actual results may differ materially from anticipated results and Art’s-Way does not undertake to update its forward-looking statement. With that, I’m going to go ahead and move into the financial presentation. I would again like to just remind everybody that joined us today, that we do have four different segments that we report on; our Ag segment which is comprised of Art’s-Way Manufacturing; Universal Harvester and Art’s-Way International and we also have our tools segment in Ohio, Art’s-Way Vessels and Modular Buildings. We are going to report on quarter to quarter information this year and this quarter, like we normally do, sometimes it’s hard to pull that information out of our year-end reporting. But we did want to give you that information. At Art’s-Way Manufacturing, our sales for the fourth quarter was $5,050,000 compared to $4,887,000 in 2013. This was an increase of 163,000 or 3.3%. A majority of this increase in sales came from our grinder mixer sales which were really up significantly this year, however, our sales for beet equipment was down and somewhat offset that increased sales and the grinder. The income before tax in the fourth quarter was 670,000 compared to 168,000 an increase of 502,000. Our year-to-date sales were $22,750,000 compared to $23,754,000. This was a decrease in our sales of approximately $1 million or 4%. And again, that decrease really comes from the reduction in the beet harvesters. And this year compared to last year which had 28 beef harvesters and those are high dollar beet equipment. Fortunately they do have slightly less margins than our grinder mixers so we were able to recover some of that there. Our year-to-date income before tax was 01,711,000 compared to 01,729,000. This was a decrease of $18,000 however, if you take out the onetime event that we had last year, when we sold the land and had a gain of sale on the land of 639,000, it’s really an increase in our income before tax of 621,000. Our backlog for Art’s-Way Manufacturing as of January is 07,567,000 compared to 06,742,000. This was a difference of $825,000 however, we feel very strongly that our backlog will be into shape across the board and we’ll go into that little bit as we hit some of our other segments. Last year when we reported for this period, we were really struggling due to the climate and weather conditions and lot of severe winter activity. So we have seen increases across the board in terms of our income, reductions in our utilities and our usages and then of course employees are available to come in and not have those winter events. So we’ve seen a significant increase in our productivity. Universal Harvester had sales in the fourth quarter of 632,000 compared to 293,000. This was an increase of $339,000. They did however, have a loss for the quarter, 122,000. This is in comparison to a loss of 177,000 for the fourth quarter of 2013. Year-to-date results for Universal Harvester were $03,406,000 of sales compared to 04,083,000. This was a decrease of 677,000 or 16%. This was one business that we have seen decrease in sales and really anticipate to continue to see a decrease in sales. We’ve altered the news with AGCO powered Ag equipment goes down significantly and this business sells 90% of its products to the OEM and we’re certainly seeing that decrease due to the decrease in combine and slower sales by those OEM manufacturers. Our year-to-date income before tax there was 86,000 compared to 162,000. Again we do expect to see a decrease in sales at that business however, we were able to cut out a significant portion of overhead cost there in the late portion of 2014 and that should help us offset decrease in sales. And then we’re also focusing on sales and marketing effort through our Art’s-Way Manufacturing sales team. We did shut down production there for two weeks over the Christmas period and we’ll be shutting down again here in January and we will continue to monitor that business closely as we go forward. Art’s-Way International is our Ontario business and it’s based primarily distribute our Art’s-Way Manufacturing equipment. Their sales for the fourth quarter was 01,048,000 compared to 319,000. Year-to-date sales for them is 02,089,000 compared to 406,000 last year however, I would like to point out that last year was a short year due to the acquisition. The income before tax for the fourth quarter was 111,000 compared to and now year-to-date income before tax was 49,000. Our income before tax last year was at a loss of 179,000 again that was a short year. So very nice increase for that business, but again I would like to point out that this is a highly seasonal business, so we would anticipate that the fourth quarter would be our strongest quarter every year. The backlog there is sitting at $70,000 compared to $91,000 last year. Our consolidations for the Ag segments for the fourth quarter had sales of 06,586,000 compared to 05,472,000. The income before tax for the Ag segments was 548,000 compared to a loss of 82,000 in the prior period. So an increase of 630,000 on income before tax. Our year-to-date numbers for the consolidated Ag sector is $27,952,000 compared to $28,199,000. This is a decrease of just $247,000 and again that comes back to beet harvesting equipment however, Art’s-Way International was able to make it up for some of that loss. Our year-to-date income before tax on the Ag sector was 01,842,000 compared to 01,718,000. This was an increase of $124,000 and again, if you take out that one time event in 2013 it would really be an increase of $763,000. Our consolidated Ag backlog number is 07,747,000 compared to 07,942,000 so a slight decrease of 2.4%. However, we really want to point out that $1 million of that decrease is coming from UHC where we anticipate having a reduction in our sales. And the other thing that we would like to point out is that we’ve had a very strong selling in early ‘15 December and January. So we’re working through our backlog at a much higher rate but those sales are still coming in and we are going to get some numbers about early ‘15 at the end of this financial presentation as well. Moving on to Ohio Metals, their sales for the fourth quarter was 914,000 compared to 650,000. Their year-to-date sales was 03,517,000 compared to 650,000. Again on the year-to-date numbers, we acquired Ohio Metals last year so that is a short year when we are comparing those numbers. Their income before tax for the fourth quarter was a loss of $15,000 compared to $29,000 in the prior year. Year-to-date income before tax was a loss of 34,000 compared to 29,000 in the prior year. The backlog at Ohio Metals is sitting at 721,000 compared to 587,000 last year. We are focused on removing some of our SG&A expenses at this facility. We do believe that they are at a much higher ratio than a lot of our other businesses. So we have taken out some overhead and cut some staff down in Ohio here in early ‘15 though we are still focusing on staff development there to work up into new profit development and to have a strong sales force going forward. Our Vessel segment for the fourth quarter had sales of 231,000 compared to 467,000. That was a significant decrease for us there of approximately 50%. The fourth quarter income before tax was a loss of 151,000 compared to a loss of 21,000 in the prior year. They did held large that they were working on towards the end of the year that did not get shift. So we will see a little bit of an offset there as we move into the first quarter of 2015. The year-to-date sales at Vessels was 01,636,000 compared to 02,137,000 in the prior year, so the decrease of 401,000 or 19%. Our year-to-date income before tax was at a loss of 341,000 compared to a loss of 221,000. The backlog at Vessels is sitting at 128,000 that compared to 426,000. We are experiencing an uptick in our activities so we do think that our backlog should increase in the next couple of weeks and have some becoming to fruition. The other thing that we would like to talk about a little bit is we have brought forward a standard product line and we’re offering five different things and they are at inventory for immediate delivery it’s a line of exchange thing. Moving on to our Modular Buildings segment, they had sales in the fourth quarter of 01,146,000 compared to 622,000 in the prior year. This was an increase of $524,000. Their income before tax was 84,000 compared to 260,000 in the prior year. That’s a decrease of $175,000 however we would like to point out that we have a large reserve that came back in 2013 that we had bulked up in the event that we had any issues on that large Stanford job. So now that business is off that much it’s just that we had a trough up of that accrual. Year-to-date sales for the Modular segment was 02,694,000 compared to 03,240,000 that’s a decrease of 276,000. The lab related business really took a decline due to the sequestration so we increased our advertising and market on the Ag side. So primarily majority of our sales did come from Ag buildings that we produced this year which was the significant change from what we’ve been doing in the more recent years. Our income before taxes for 2014 was a loss of 165,000 compared to 2013 at 608,000. That’s a decrease in income by 845,000, but again, a large of portion of that was due to the carryover to Stanford’s job. Our backlog at Art’s-Way Scientific modular segment is sitting at $665,000 compared to $507,000 last year. So our corporate total of sales for the fourth quarter was 08,879,000 compared to 07,211,000, an increase of 01,668,000 or 23%. So it was a strong quarter for us. Our income before tax for the quarter was $468,000 compared to $186,000 in the prior year, an increase of $282,000 or 152%. Our overall backlog numbers are at 09,214,000 compared to at 2013, 09,464,000. As I’ve had indicated earlier in the call, our numbers for December have been very strong and January is also looking strong. And while we can’t guarantee the same levels for the quarter let alone the year, we did want to share with you where we’re sitting as we come to the end of January. I’m going to give you December’s numbers as January aren’t affirmed yet but January is trending in the same area. Our sales for the Ag sector for the month of December were 01,688,000 compared to 01,211,000, that’s an increase of 39% over the last year. Our Scientific division had sales in December for 180,000 compared to 113,000 in the prior year, that’s a 60% increase for them. Vessels had sales of 304,000 compared to 69,000. That’s a 340% increase for them and Ohio had sales at 335,000 compared to 274,000 a 50% increase for them. So across the board in all of our sectors, we’re seeing increases in sales for the month of December. Our income before tax for our Ag sector is at 63,000 compared to a loss in the prior year of 443,000, so a net gain of 497,000 and that’s really we’re in the tough quarter of 2014 and we worked really hard throughout the year to make up for that. So we’re starting out this year in a much stronger position. Scientific income before tax at a loss of 29,000 compared to a loss of 53,000 in the prior year. Vessels is consistent with their prior year results, Ohio is showing income before taxes 30,000 compared to a loss of 8,000 in the prior year. So when we look at the consolidated numbers for income before tax, we’re sitting at 48,000 compared to 510,000 walk in the prior this December. So an increase of that income before tax of 558,000. So we are feeling very confident about our results but again, we’ll point out that we can’t guarantee that those results will carry forward throughout the rest of the year. And with that, I’m going to turn the call over to Marc.
Marc McConnell: Well thank you. I just wanted to give a little bit of an overview, Carrie touched on a lot of it in general we feel like business is improving. As she noted, fourth quarter really was quite a significant improvement versus 2014 with the consolidated revenue of 23% income of 153%. First quarter of this year obviously she stated off to much, much better start than last year. The demand for our products is really quite robust and we continue to have some difficulty in business units as we discussed quite a lot in the past. But we are working hard to address those, we produced quite a lot of costs and overhead off to 700,000 in recent months that we should have full benefit of for the new year. And we are working hard to address core issues providing more support and sales and marketing and working a great deal on proving efficiencies and some of those results are coming in faster than others but we are working on hard. Overall, we’re cautiously optimistic and we expect a more profitable year than 2014 and obviously with a stronger first quarter developing that’s reasonable expectation. Just to hit a few highlights in some of the specific areas. The dairy, beef, pork commodity prices continue to drive good activity for us. As Carrie stated, the grinder mixer sales are up quite significantly and those are nice gross margin item. And road crop commodities continue to be pretty low they mixed up some they are still pretty well. So the environment continues to be one that provides for good demand for certain products of ours that are going to dairy, beef, pork etcetera. We’ve had really significant improvement in efficiencies, a lot of that started when we head through personal place is becoming beginning of 2014 calendar year. And as we know first quarter last year was very difficult and fourth quarter prior year was very difficult and we’re really seeing significant improvement. And that is great deal of reason for some of the improved possibilities as the year progressed and a lot of that showed in the fourth quarter as well. So we’re anticipating that strength continues going into this year and we will do better on a P&L basis with the sales that we get particularly in the Ag sector. We’ve been improving processes additionally we’ve been investing a good bit in improving those processes and that’s helping efficiency finished quality. One thing I’ve touched on quite a bit in the past is that we have had recent years of investing a great deal of research and development and that continues. We continue to add to our engineering team and we are working on projects that may not become public for couple three years. So we have a longer term view about the R&D that we’re working on and we expect those investments to yield significant earnings in future years. And we continue to invest in a strong way capital expenditures to improve the equipment that we’re working with and ultimately in the long term drive more profitability. On UHC our Universal Harvester as Carrie mentioned, this is road crop driven business and as expected sales there are weakening. And this is a business that we expect to be strong when the next phase of the cycle returns when you get back to having high corn and soy bean and other commodity prices, we expect that this will be one that contributes as it has in prior times when that was good. So we’re not experiencing much of a supply there we’re just experiencing this phase of the market turn. And we have eliminated a significant amount of right there and we don’t feel that that will harm us going forward. So we would be able to withstand a low period in that business better than we would have liked. In the International business we have strong demands for this year and we’ve been continuing to invest in engineering to take cost out of that product and we think long term, while this is always going to be seasonable and cyclical we may opt to use make good money from that business going forward and also maintaining our sales channel to Canada for Art’s-Way products that plan continues in place and we plan on growing our presence in that market beyond what we currently have. Scientific, Dan will be really covering that to greater degree than I will, but I will look there as what’s and I’ll let Dan tell you more about that. For the vessels, we continue to have difficulty as Carrie stated. We have few timing issues as far as orders and receiving orders that we’re waiting for us as well as finishing orders that we have so that is really impacting our numbers. We’re looking at some investments to improve our efficiencies and change our profitability profile there obviously we have to do something to change that we are not content to continue with the struggling organization like we have here. So we’re working on developing our sales channel further and those results don’t come immediately, but we are working on that. And in Ohio sales have weakened our largest customer is doing a temporary shutdown. The pipe mills in Ohio that were quite busy with lot of the oil and gas activity have obviously had some demand weakening on their side so that’s affecting us. And we’re addressing overhead derivatives that needed to be addressed and should help with the P&L situation despite what’s going on, on the demand side. So overall, as always with a diverse business like ours, it’s a bit of a mix bag but on the whole we feel like we will wind up to having a pretty solid year and we feel like we’ll be able to capture more earnings for the sales dollar than we have in the last year or two. And particularly if you’re comparing us this year to last year and exclude the onetime gain of the land sale that we had similar pipes of but it’s really is worth changing the product mix having beet harvesters go from being a significant part of our revenue and income to really very, very little and having that replaced by grinder mixer activity and manure spreaders and some of these other items I mean that’s a big shift that’s hard to manage and hard to manage profitably, but the shift has happened and we feel like we’d really be able to do a lot better with it in this year where the environment looks to be similar from a product mix standpoint. So Ward is available also. Do you have anything to add to that?
Ward McConnell: No, Dan can do his.
Marc McConnell: All right. We will turn it to Dan to tell us about Scientific.
Dan Palmer: Thanks, Marc. Half of my message is consisted of what both Marc and Carrie had said with regards to distribution. We’ve been working hard and winning less it seems and that has taken us to investing in our traditional market segments or getting back to our roots if you will. Our June World Pork Expo promoting some specialty swine, buildings for show for small producer as well as for university veterinary programs etcetera have brought us a great deal of interest towards that market. And in October our World Dairy Expo participation and a lot of marketing focus towards increase our opportunities in the Ag building by 50%. So we’re talking in the neighborhood of managing the 40 leads typically to managing 86 leads in Ag related types of programs right now. We’ve seen a pretty significant paradigm shift from producers that we work on the cap side of the business or dairy producers from using traditional huts that are outside to environmentally controlled types of buildings. And we have interest from very large dairies and food processors towards using our product in their markets. Of course this is longer lead time type of situation takes more time to negotiate contracts and to get them to. So currently we have seven projects in the process installation and manufacturing and it’s an interesting mix three of those are related to research two of them are in swine searching, one is a laboratory that’s quasi-product development for food safety which we’re preparing to introduce to the market in the second quarter. And then there are four agricultural building projects right now two cap and two swine barns which is a different mix from what we in the past we’ve been primarily focusing on our research buildings but about 10% of our production being the agricultural segment. But nevertheless, we’re tracking 208, 15 plus opportunities and 140 of those are still in research and laboratory markets. We’ve been collecting statistics over the last year and here we’re getting our lift from we know where we have to go and what we have to do and we’re climbing by and large expansion to the international marketplace which takes us a longer period of time to capture those. The 2014 report on research phase that we look at from public magazines and information says that there is still space required out there is a lot of unfunded work at this point, [indiscernible] are changing their extra research and trying to bring more of that back into the main campuses. So we’ve seen price cost per square foot go up about 1% which is down significantly from what we’ve seen in the past. And losing a couple of competitive bid jobs recently with a couple of our competitors, we see from the pricing indicated on the competitive bids that are competition slow as well instead of buying business. So our efforts in the fourth quarter last year and continuing into this year is to maintain close contact with the people who are currently at our probably without a better chance of getting this year than the attraction of new business. And then of course expansions those international markets and we are actively quoting a number of those and that’s a new endeavor for us. But then mostly cost info managing our margins is key and that is key to the labor who run our business so optimistically our cap barn projects and opportunities look very, very good and we’re working with significant laboratories food safety and expect business from them but may be that we can talk about that little bit in the next quarter. As Carrie mentioned, the sequestration end of last year would have slowed things down but our efforts have had to be to bring in business and we have done that by capitalizing on the Art’s-Way name and its history and co-marketing our agricultural buildings along with grinders mixers and other products that are tied to those markets and have been highly successful than in the investment. And the advertising to get to those markets and capitalize on that. So I’m optimistic that 2015 our first quarter out there [Audio Gap] and get into new market segments that are being identified in the news every day. Back to you, Marc.
Marc McConnell: Okay. Thank you. Before we just turn to Q&A I wanted to turn your attention to couple of things that you would have seen as releases here just before the call. And as a signal to our view of the outlook of company you’ll see that we did approve $0.05 dividend that we would be reviewing dividend again annually. So in the third quarter we will be reviewing this and in prior years we’ve done $0.10 a share and hope it’s appropriate that while we’re cautiously optimistic we have some comfort as well. We want to go ahead and part of it and revisit and hope that gives you an indication how strongly we feel things are, but we’re also being a bit cautious. And also to turn your attention to the fact that our previous Director of Accounting and Finance Amber Murra was recently promoted to Chief Financial Officer so she’s been with the company for since earlier in 2014 been with us prior times as well. And we’re very pleased to have her as our Chief Financial Officer and we continue to build the management team that we have for the company and we’re really in a good place in that regard so I just want to make sure that I mention that because that’s a quite a good development. So with that, we could turn it to Ward for questions and answers.
Ward McConnell: Fine. I’m ready.
Operator: Ladies and gentlemen, at this time we’ll conduct a question-and-answer session. [Operator Instructions]. Our first question comes from Roger Miller from Frontier Management. Please state your question.
Roger Miller: Good morning.
Marc McConnell: Good morning.
Roger Miller: I didn’t realize I would be first so let me start out about the dividend. Obviously I was deeply disappointed about what happened in November but I’ve been pushing for the dividend to be cut more than once a year so this I believe the plan that you have in place is towards stability and I would encourage you to keep doing this. As far as interest rates go, right now they are low, is that affecting your margins at all?
Ward McConnell: Carrie?
Carrie Majeski: I would say no, we have not seen that affect our margins.
Roger Miller: Okay. Well the strong dollar right now versus the Canadian currency is that cutting cost in Canada at all?
Ward McConnell: We maintain a Canadian bank account and we’re making these dollars in Canada and only convert for reporting numbers. So I don’t think that’s affecting us a great deal.
Roger Miller: Have you thought about manufacturing more in Canada?
Ward McConnell: No, we’re happy with where it’s at and yes --
Roger Miller: Do you have any plans of putting any more warehouses up there so you can store equipment to sell on demand?
Ward McConnell: We are looking at larger billing that we’re in but would withhold some inventory but they start their own outdoors and surprisingly to me at least, it didn’t really affect the salability of it. But the building we’re looking we’re hoping to put more stuff in time.
Roger Miller: Okay. With diesel, fuel still being slow to respond coming down in price, do you think that’s impacting agriculture at all versus the lower commodity prices?
Ward McConnell: I think it’s certainly helping them yes, but also they’re not running their tractors yet and when they do, there is going to be certainly paying less to the fuel that would go into them. So I think it’s going to help them.
Roger Miller: So why anyone[ph] was talking about this at all?
Ward McConnell: I didn’t either but I think it’s --
Roger Miller: On the acquisition trail, with disappointment in some divisions, are you looking at any acquisitions now?
Ward McConnell: We’re only talking of course our objective in the first place was to get those Ag because Ag has a way of having very low balance sheet and very high peaks in these years. And so that was some of the reasons why we went ahead and did these purchases. So far we had some trouble merging those purchases in our systems computers, major portions but they are all stepping up and getting better as we go along here as we’re getting our methods and so on using our software and universal and so they are going to contribute a lot going forward. And I think that will really help us out when we do have one of these years. Ag has been down here as we’re not because grinders mixers primarily and we sold roughly 50% last year than we did prior year and it seems very, very solid right now we have a backlog of something like 40 some units we’re behind what we had ordered for and orders coming daily. This is the beef and the chicken and markets are all higher and it’s generally it doesn’t work that way. But part of that I think it’s a very unusual time but calculations have to be made contributing to some but they are not contributing the way they should, but they are getting where they’re really getting them turned around so they are like --
Roger Miller: So John laying off personnel and you’re hiring on a second shift would you like to comment on that?
Ward McConnell: Well traffickers are bad thing they are just not selling, we haven’t laid off anybody. We’re staffing where we were six months ago.
Carrie Majeski: We are looking to hire that second shift Roger, as you know that however it’s really only a couple of positions that we’re looking for and some bottleneck pieces of equipment that we need a little bit flow through there it looks like we need that flow continuing on for the rest of the year. So yes we are adding those positions but it’s a relatively minor add in things.
Roger Miller: I just saw it online and I was obviously I’m sure that impacts to manufacturing personnel while other people are laying off. Well, I’ve been tossing this over my mind for quite some time, you’ve got all this different divisions some aren’t successful some are, but is there a plan that you might feel the market out to determine if there is anyone out there to be interested in buying one of the these to take revenue and put it somewhere else?
Ward McConnell: Marc?
Marc McConnell: I would say that we’re open minded to that in certain cases certainly if proper opportunities arrive and we have a good place to deploy the capital in a way that is synergistic to what we already do and want to retain. So, I’m not -- we don’t have anything to announce but we’re not entirely close minded about such things. But certainly if we had a cause to raise capital to do something that would be one of the ways of doing it.
Roger Miller: Yeah I think that would be smart way of doing it, it would cut the losses in certain areas at this point it seems to me that there is couple of them that are one of them looks like vessels there may be some glimmer of hope. Manufacturing products ahead of time and having them for instant sales is probably the smartest move you can do.
Ward McConnell: And it helps even it out, you don’t have orders it helps out yes. It started to help out already. We just got the inventory going late, late last year.
Roger Miller: Well I would imagine because of the capital deployment you have to have a capital to sit there on the inventory to determine the sales correct?
- Ward McConnell: Yes.
Roger Miller: But you don’t have any orders so you’re filling in and getting utilization and efficiencies and operation and selling them when you’re busy.
Marc McConnell: Historically, everything there has been built to order but we started to get enough recurring inquiry for certain type of things or things that we’re quite similar and that’s to where it was to react by creating something that was immediately available and may be what they want or just 98% of exactly what they wanted but in any case speed was more important. And so now, we are able to offer that and as Ward said that it does help from an standpoint to smooth things out. So it was really reacting to inquiries we get and seeing an opportunity develop and adjusting to it.
Roger Miller: And I guess the key here is to get over the $40 million market sales and keep going right?
Ward McConnell: Well, absolutely.
Roger Miller: It seems like you bumped up against it, don’t penetrate.
Ward McConnell: Pretty fresh. We’ve been at high 30 at a very short time really.
Roger Miller: When I think about the market itself it would give you a lot more recognition if you penetrate through that and go on up to 50 million it would be a big exclamation point. Hey Dan?
Dan Palmer: Yes.
Roger Miller: There’s a lot of markets out there for these buildings and it seems like you’re doing a pretty good job but I’m sure the market and I was disappointed and we didn’t get any sales in Africa for Ebola would you like to comment on that?
Dan Palmer: Certainly. Well Roger there’s no money for facility for Ebola. The first thing that they want to do is find the vaccine, right? So the money went there first and there are three companies that are working on vaccines. And the second thing is delivering those vaccines in such a way that the local population will take those, problems with giving shots and those types of things. Well the hospital response which is what you’re seeing on the news has been funded by governments who are coming in basically who have economic interests in those countries. For instance China has put some money into Liberia because they have economic interest there. So we still feel like there is an opportunity for infrastructure to exist for combating Ebola or eradicating in the long run but that is the next phase. The first that they are going to do is deploy facilities and response vehicles that are already available that are only sitting at depos and tend to be deployed with keys to the regions affected. And they have this ability to do this in the government. The facilities are positive but insignificant number one effort is to train people to deal with deadly disease and get them there is not in Liberia and having. So we feel like there is phase 1, phase 2, phase 3 and that our participation is more than likely in phase 3 where we’re against than these countries to keep Ebola away.
Roger Miller: Is there any chance for food safety in these countries to shift buildings over there or anywhere else?
Dan Palmer: Absolutely. Yes we’re tracking that very closely we have a project underway quasi R&D project with the company that is involving food safety. We know that Wal-Mart had last year put 16.5 million asides for 70 mobile which is facilities in China to test food. The world as an international food, there’s a lot of transportation of food stuffs around the world as cultures accept different food around the world. So our participation in that Roger has been international group protection agency understanding the 2011 food modernization act and participated and food safety and I don’t think that’s a large market. And we’ll be speaking at a conference April about our participation with the company in food safety and basically introducing something that I hope is private by then.
Roger Miller: You are heavily involved in this twine and cap industries how about the aqua industries when I say that I mean like fish
Dan Palmer: Absolutely yes we are. Personally what happens swine bring us is what grinder mixers brings to our sister company and that is a product that can be easily engineered and cooked through very quickly. And so of those are more about making people aware this is available and then deploying our sales force to take care of those become well routine and really are not allowed to talk about not cutting edge things not stuff that we’re looking at trying to develop the product alone. But those things are Ebola trying to take to safety in the world some of the diseases that have been taken care of in various places really where our markets at I have to say that our core businesses is still major universities we’re doing biomedical research to find cures for diseases that being funded by the national institute themselves. So sequestration last year the brakes went off I was seeing it down folks who are still interested but the size of the project may downscale a little bit but those are re-servicing after October so we’re in contact with number of those on projects signed up. So I feel optimistic that 2015.
Roger Miller: So the whole key is the university
Dan Palmer: Yes it is.
Roger Miller: I can’t understand that.
Dan Palmer: It’s medical colleges we’re working again with medical college in places, remote places where there are adjunct universities being cofounded. For instance, university international spend together, one medical college Cornell College University in New York is has relationships with the Cutter Foundation for a medical school there. We know the people at Cornell New York, we know the people who knows other institutions who are taking their knowledge and helping other countries so we it takes a few years to develop a medical college. And so we see take these that they need animal facility laboratories whatever and because of our contact in United States we are actually drawn to those other institutions as they are developing overseas.
Roger Miller: Okay. Well that’s about all I have today. And thank you for the dividend.
Marc McConnell: Thank you, Roger.
Operator: [Operator Instructions]. At this time, we have no further questions.
Marc McConnell: Well I’ll take this opportunity to thank you all for your interest and for listening to us today. Again, we feel like we’re in the midst of improving times and should have a decent year. We appreciate your interest and investment and with that, we will say good bye. Thank you.
Ward McConnell: Thank you.
Carrie Majeski: Thank you.